Operator: Good morning, and thank you for standing by. Welcome to Booz Allen Hamilton Holding Corporation's earnings call covering third quarter fiscal year 2026 results. At this time, all participants are in a listen-only mode. Later, there will be an opportunity for questions. I'd now like to turn the call over to the Head of Investor Relations, Dustin Darensbourg. Thank you.
Dustin Darensbourg: Good morning, and thank you for joining us for Booz Allen Hamilton Holding Corporation's third quarter fiscal year 2026 earnings call. Hope you've had an opportunity to read the press release we issued earlier this morning. We have also provided presentation slides on our website and are now on slide two. With me today to talk about our business and financial results are Horacio Rozanski, our chairman, chief executive officer, and president; Matthew Calderone, executive vice president and chief financial officer; and Kristine Martin Anderson, executive vice president and chief operating officer. As shown in the disclaimer on slide three, please note that we may make forward-looking statements on today's call which involve known and unknown risks, uncertainties, and other factors that may cause our actual results to differ materially from the forecasted results discussed in our SEC filings and on this call. All forward-looking statements are expressly qualified in their entirety by the foregoing cautionary statements and speak only as of the date made. Except as required by law, we undertake no obligation to update or revise publicly any forward-looking statements. During today's call, we will also discuss some non-GAAP financial measures and other metrics, which we believe provide useful information for investors. We include an explanation of adjustments and other reconciliations of our non-GAAP measures to the most comparable GAAP measures in our third quarter fiscal year 2026 earnings release and slides. Numbers presented may be rounded and, as such, may vary slightly from those in our public disclosure. It is now my pleasure to turn the call over to our chairman, CEO, and president, Horacio Rozanski. We are now on slide four.
Horacio Rozanski: Thank you, Dustin. Welcome, everyone, and thank you for joining the call. Today, Kristine, Matt, and I will share Booz Allen Hamilton Holding Corporation's financial results for 2026. Before we dive in, I would like to begin by acknowledging the transition of our chief financial officer, Matthew Calderone. As we announced in December, Matt will be leaving on February 1, and today is his final Booz Allen Hamilton Holding Corporation earnings call. Matt has been with the company for over twenty-three years and has had a meaningful impact in all his leadership roles. Most recently as our CFO, he led us through a period of significant growth, deepened our connections with the investor community, and helped many analysts and investors better understand what we do by actually showing them our tech. He also played a pivotal role in strengthening Booz Allen Hamilton Holding Corporation's leadership position in the tech ecosystem through our investments and unique partnerships. Matt, I'm grateful to you for all your contributions. On behalf of all of us, we wish you the very best. To continue our search for a new CFO, Kristine Martin Anderson will serve as our interim CFO in addition to her duties as our chief operating officer. Kristine is an exceptional leader, has led and grown large businesses, and currently drives the execution of Booz Allen Hamilton Holding Corporation's strategic and operational priorities. Thank you, Kristine, for leading us with this transition. And now let's turn to our performance. During our October earnings call, we said we expected the macro environment to remain fluid and dynamic for the foreseeable future. We also outlined three priorities we would focus on to strengthen our near-term financial performance, expand our market leadership, and reaccelerate our growth. Those priorities were to reduce our cost, accelerate our transition to outcome-based contracting and product sales, and focus our investment by doubling down on proven growth vectors like cyber, national security, partnerships, and AI. Our third-quarter results demonstrate we're making strong progress against those priorities. Our results are in line with the revised fiscal year guidance we shared in October, and we are narrowing the ranges at the top and bottom lines. Our performance reflects Booz Allen Hamilton Holding Corporation's strong execution and our ongoing transformation in a continually evolving and complex macro environment. On today's call, Matt will walk you through the numbers in detail, and Kristine will share our outlook for the remainder of the fiscal year. Ahead of that, I will focus my remarks on progress against our three priorities, both in terms of current performance and on strengthening the foundation for the future. Let's begin with the first priority: reduce cost. Early in the quarter, we took swift action to execute the cost reduction program we described on the October earnings call. These crucial and difficult actions were necessary to enable agility in a changing market. They also create capacity to invest in growth. In parallel with the cost reductions, we navigated the longest government shutdown in history. The shutdown exacerbated an already slow funding and awards process. Our performance demonstrates our resilience, disciplined cost management, and strong execution. I am particularly proud that we supported our employees who were impacted during the historic shutdown. This decision was consistent with how we handled prior shutdowns. It ensured our people could immediately return to their customers' missions when contracts restarted. Overall, our results this quarter show that even in the midst of uncertainty and change, Booz Allen Hamilton Holding Corporation is managing the business tightly while preparing for the future. Shifting now to our second priority: accelerating our transition to outcomes-based contracting and product sales. As part of the overall transformation of our business, we continue identifying opportunities to reshape our portfolio and deliver more technical outcome-based work. The recent divestiture of a portion of our DARPA business sets us up to unlock technical performer opportunities that align with our growth vectors. For example, our investments in full-spectrum cyber capabilities are strongly aligned with DARPA's mission. As DARPA accelerates tech acquisition through their expedited research implementation series, or ARIES Marketplace, we are positioned to be a direct supplier of advanced technology and solutions. We also continue to partner with our customers to convert existing work and procure new opportunities through more commercially oriented buying practices, including fixed-price models. For our work on Thunderdome, this zero-trust cybersecurity program, we have successfully transitioned the majority of existing task orders to include a fixed-price component. We were also recently awarded nearly $100 million of fixed-price work to expand Thunderdome across the Department of War. Through these efforts, we will continue advancing Zero Trust capabilities, including accelerating AI and ML adoption for cyber defense use cases. As we shift more of our portfolio to fixed-price and outcome-based models, we gain more flexibility to innovate how we deliver. This will create cost savings for the government and support Booz Allen Hamilton Holding Corporation's margin expansion over the medium to long term. Staying on the topic of cyber, Booz Allen Hamilton Holding Corporation's Velox Reverser is a good example of how we are productizing our IP for commercial sales. Velox Reverser is our AI-native malware reverse engineering product. This week, we're launching it in general availability to both federal and commercial customers. Velox Reverser accelerates an organization's response to today's most complex cyber threats. It performs fully automated malware analysis and delivers actionable intelligence in minutes, versus what traditionally takes days. As AI-enhanced cyber attacks increase and become one of the primary threats of 2026, this product is a force multiplier for cyber defense efforts. Thus, Booz Allen Hamilton Holding Corporation is redefining our future, innovating what we build, how we build, and how we deliver to ensure the best value for our customers. Lastly, we've made advances in our priority number three: focusing investments by doubling down on proven growth vectors to drive acceleration. Our progress is evident through the expansion of our national security portfolio, the combination of our defense and intel businesses, as well as our industry partnerships. First, we continue to see strong demand for our technologies within the national security mission. Two United States Navy examples illustrate this point. We recently announced the award of a $99 million contract with the Navy's Military Sealift Command, where we'll deliver wireless capabilities onboard ships around the world. Using low earth orbit satellites, advanced Wi-Fi, and 5G, our tech will enable ships to have secure, reliable connectivity at the tactical edge. Additionally, many of our customers continue to increase our contract ceiling based on exceptional delivery and how well our exquisite tech works in their missions. We saw this with the Navy's Program Executive Office for Unmanned and Small Combatants. They recently expanded our work in the areas of unmanned and autonomous systems, mine and mine countermeasures, and mission modules for littoral combat ships. This is in addition to work already delivering for the Navy on our visual object localization and tracking solution. It uses machine learning and open architecture interfaces on autonomous platforms to passively detect and track objects in a maritime environment. Our national security portfolio is well aligned to the Trump administration's highest tech and mission priorities and positioned for continued growth and expansion. The other growth vector where we have doubled down is our industry partnerships. We are leveraging the tech ecosystem by engaging and investing in new ways, with a specific focus on the best companies in Silicon Valley. Earlier this month, we announced a new partnership between Booz Allen Hamilton Holding Corporation and Andreessen Horowitz, or a16z, one of the world's premier venture capital firms. Booz Allen Hamilton Holding Corporation is the first-ever a16z technology acceleration partner for governments. We've been working with a16z portfolio companies for many years and have an exceptional track record in building and delivering transformational solutions. That success is the foundation for this expanded partnership, and we look forward to building on our shared passion for driving the future of American technology. Together, we will co-create unique commercial tech for national security, public safety, healthcare, and other government missions. Booz Allen Hamilton Holding Corporation has committed to deploy up to $400 million in a16z's late-stage venture fund over the life of the fund. This is good for Booz Allen Hamilton Holding Corporation, it's good for our shareholders, and it's good for the country. Through this game-changing partnership, we will choose national challenges that need to be solved, build innovative tech solutions, and deliver outcomes at speed and scale. In closing, our performance this quarter and our progress against our three priorities give me confidence that we are on track operationally and strategically. Looking ahead, we will continue to anticipate change in a dynamic environment. We will operate efficiently and with agility, accelerate our transformation, and we will focus on returning to growth. And now I'll hand off to Matt to cover our third-quarter financials. Matt, for the last time, over to you.
Matthew Calderone: Thank you, Horacio. And good morning, everyone. As Horacio noted, this has remained a dynamic fiscal year. I share his pride in how Booz Allen Hamilton Holding Corporation has risen to the challenge, as well as his optimism for the future. Here are my five takeaways for the quarter. First, our third-quarter results are in line with the revised fiscal year guidance we issued in October. Even with the protracted shutdown, revenue ex-billables, where most of our profitability is generated, tracked in line with expectations. Both adjusted EBITDA and ADEPS were stronger than anticipated. Second, we successfully navigated through both the government shutdown and significant cost actions in the quarter. The shutdown pushed some procurements and funding actions to the right. We believe, based on our estimates, these will have a cumulative impact of about $50 million on revenue and $20 million on profit for the full fiscal year. Additionally, in our national security portfolio, which includes our defense and intelligence businesses, the shutdown caused approximately $60 million in billable expenses in the quarter to move from Q3 into Q4. We also completed meaningful actions to adjust our cost structure, dropping our run rate spend by approximately $150 million. The full impact of these cost actions on profitability will be felt next fiscal year. Third, we continue to operate the business very well. We are running the business efficiently and seeing strong contract-level execution. This is reflected in our strong margin performance in the quarter. Fourth, while third-quarter hiring and near-term funding were impacted by the shutdown, the overall demand outlook has improved. As of December 31, our qualified pipeline for next fiscal year, that is fiscal year 2027, stands at nearly $53 billion. This is 12% higher than where our fiscal year 2026 pipeline was at the same point last year. And finally, we saw a meaningful decrease in our tax rate from a change in estimate related to the finalization of our fiscal year 2025 return. These changes included a higher R&D tax credit for more qualified technical work in our portfolio, as well as additional revenues qualifying for the foreign-derived intangible income deduction. We expect this to provide 47¢ of incremental benefit to ADEPS for the full fiscal year. Importantly, we also anticipate that a meaningful portion of this benefit will be recurring. I will now walk you through third-quarter performance in more detail. For the quarter, gross revenue totaled $2.6 billion, representing a roughly 10% decline versus the prior year period and a 7% decline on a revenue ex-billable basis. The government shutdown had two impacts on revenue in the quarter, one permanent and one temporal. We lost some revenue due to work not performed, and we also saw some revenue push from Q3 to Q4 given timing delays and billable expenses. Adjusting for these impacts, gross revenue in the quarter was down about 6% year over year, which is roughly in line with our expectations. Within these consolidated results, our performance remains bifurcated across markets. Our national security portfolio declined about 1% year over year in the quarter, inclusive of the impact of billable expenses shifting out of our Q3. Adjusting for the impact of the government shutdown, our national security portfolio grew about 4% year over year. As anticipated, our civil business declined about 28% year over year. We continue to expect this business to remain stable through the remainder of the fiscal year and are optimistic about its future. Turning now to demand, awards in the quarter were seasonally light. As noted earlier, the shutdown caused delays in some funding actions and shifted some award activities to subsequent quarters. Net bookings for the third quarter totaled $888 million. This equated to a quarterly book-to-bill ratio of 0.3 times and a trailing twelve-month book-to-bill of 1.1 times. The overall pace of funding was meaningfully slower than prior third quarters, down 32% year over year. As a result, funded backlog fell 10% year over year. However, we did see a meaningful pickup in funding activity in December as customers worked through backlog related to the government shutdown. Despite friction in the funding environment, we ended the calendar year with a record year-end backlog of over $38 billion, up about 2% over the prior year. As we look ahead, the qualified pipeline for next fiscal year, fiscal year 2027, stands at nearly $53 billion. This is 12% higher than where our fiscal year 2026 pipeline was at the same point last year, with national security up 12% and civil up 10% year over year. Turning now to headcount, Booz Allen Hamilton Holding Corporation ended the calendar year with roughly 32,000 employees. Our customer-facing staff was down 2% sequentially in the quarter. Notably, this includes involuntary terms of about 2.5% and headcount losses from the divestiture were about half a percent. Our focus remains on ensuring we have the right talent to execute our backlog and support pipeline growth. As funding flows and contracts continue to ramp, we are scaling hiring accordingly. Moving now to profitability, strong contract execution and disciplined cost management helped drive profitability in the quarter. Adjusted EBITDA for the third quarter was $285 million. This translated to an adjusted EBITDA margin of 10.9%. Through the first three quarters of the fiscal year, our EBITDA margin was also 10.9%. We still expect margins to step down in the fourth quarter due to normal spending patterns and the anticipated catch-up in billable expenses. Further down the income statement, third-quarter net income was $200 million, a 7% increase year over year. Adjusted net income was $215 million, an increase of about 9% from the prior year. Diluted earnings per share increased roughly 12% year over year to $1.63 per share. Adjusted diluted earnings per share increased about 14% year over year to $1.77 per share. These increases were driven by meaningfully lower effective tax rates and a lower share count that were partially offset by lower operating profit and slightly higher interest expense compared to the prior year period. In the quarter, we also recognized a $7 million pretax gain from the divestiture of our DARPA cedar work, which is excluded from our non-GAAP adjusted income in ADEPS. Transitioning now to the balance sheet, our balance sheet remains strong, and we continue to generate meaningful cash flow. At the end of the third quarter, we had $882 million of cash on hand, net debt of $3.1 billion, and a net leverage ratio of 2.5 times adjusted EBITDA for the trailing twelve months. As a result of particularly strong collections in December, free cash flow for the quarter was $248 million, inclusive of $261 million of cash from operations, less $13 million of CapEx. I will now turn to capital deployment. In the quarter, we deployed a total of $195 million. This included $125 million in share repurchases at an average price of $95.16. Our total repurchase activity was just over 1% of outstanding shares in the quarter. It included $67 million in quarterly dividends and $3 million in strategic investments made through Booz Allen Ventures. We are also pleased to announce that today our board of directors approved a quarterly dividend of 59¢ per share, which will be payable on March 2 to stockholders of record as of February 13. Finally, before Kristine walks you through the outlook for the remainder of our fiscal year, I want to take a brief moment to thank the people of Booz Allen Hamilton Holding Corporation. Booz Allen Hamilton Holding Corporation is an extraordinary place that does essential work for our nation, often in areas and in places that we cannot discuss. It has been a great joy and an absolute privilege to be part of this company. I'm truly excited for Booz Allen Hamilton Holding Corporation's future. With that, Kristine, over to you.
Kristine Martin Anderson: Thanks, Matt. I want to add my thanks to Matt for his incredible contributions to Booz Allen Hamilton Holding Corporation's success. He will be missed, and we wish him great success in his new role. I will now walk you through our updated fiscal year 2026 outlook. Please turn to slide seven. We remain focused on execution in the remaining months of a dynamic year. We expect quarter four funding to improve over quarter three but remain slower than usual. We will continue running the business effectively and efficiently. As a result, we are tightening towards the lower end of our guided range for revenue, adjusting cash flow accordingly. We are also narrowing our EBITDA range and increasing adjusted EPS. We now expect to deliver revenue between $11.3 billion and $11.4 billion, given some of the impacts from the prolonged government shutdown. We expect an adjusted EBITDA dollar range of $1.195 billion and $1.215 billion. We are raising our ADEPS guidance to a range of $5.95 to $6.15 per share. Lastly, we expect to generate free cash flow between $825 million and $900 million. We enter the final quarter of this year confident in our trajectory and our right to win. Demand for our national security technology and expertise remains robust. At the same time, our civil business is reset, and demand is accelerating. It has been personally rewarding to work with our amazing people and commercial tech partners to develop and pitch big ideas that advance critical missions, about which we are deeply passionate. For example, this quarter alone, we've advanced our cyber tradecraft and prepared to launch Velox Reverser. We completed a major design review on the Air Force's tactical operations center light program, the Air Force's next-generation mobile command and control system. We launched America the Beautiful passes on recreation.gov. We engaged our allies on Zero Trust and Warfighter tech solutions. And we co-developed innovative solutions with our tech partners, from long-term partners like NVIDIA, AWS, and Shield AI to newer venture portfolio companies. We are shaping our future. With that, operator, let's open the line for questions.
Operator: Thank you so much. And as a reminder, to ask a question, simply press 11 to get in the queue. To remove yourself, press 11 again. One moment for our first question, please.
Colin Canfield: Hey. Thank you for the question. And, Matt, thank you for your leadership. Character is the long-run determinant of many nations alike, and honestly, it's something you've exhibited in spades from your 2022 starting point. A Russia's invasion of Ukraine to this year's volatility. So certainly want to thank you. As and then switching over to maybe the question side of it, as we think about the end market expectations for FY 2027, is it fair to characterize Defense and Intelligence as growing with civil flat? And then essentially, when do you expect the downdrafts to lift on Civil in FY '27? Thank you.
Horacio Rozanski: Hey, Colin. Good morning. Let me start. Let me frame the conversation. First of all, I think the headline for this quarter is about strong execution across all aspects of our business and about positioning for the future by investing in our growth vectors and transforming the business, especially with an eye towards growing the bottom line and reaccelerating our overall growth. You know, our national security business continues to see good growth and very good prospects. But I think what's really exciting to us is our civil business is beginning to reignite. If you know, the pipeline is up double digits both in national security and in civil. And we're beginning to see some movement on the award activity in the civil side, which we have not seen all year. So my cautiously optimistic take is that the market does feel like it's at an inflection point. We obviously need to get through a couple of, still a couple quarters of challenging comps. But the business is certainly starting to feel a different energy across the board. And where we see the uplift is really in the areas that we're describing as our growth vectors. Our AI business continues to grow strongly. We see both good growth and acceleration in our cyber business, our defense tech business looks good, and this work that we're doing with commercial partnerships is also going to bring another wave of opportunity.
Colin Canfield: Got it. No. I appreciate the color. And then in terms of the kind of multiyear civil setup, can you maybe kind of talk to it? As we think of, like, the pieces that have been downdrafts this year, that are likely to get made up over a multiyear period, maybe just frame kind of that construct versus the concept of just like a high-level rebuilding the civil administration and maybe, like, how you think about the multiyear level of work not just, like, the quantitative makeup from this year, but essentially, the level of cuts that have gone through civil this year and, essentially, how do you think about that as being an opportunity for Booz Allen Hamilton Holding Corporation over a multiyear period?
Kristine Martin Anderson: Yeah. Thanks, Colin. I would say that civil has changed. And that happens across administrations. We got a bit of a delay this time, certainly with all the cuts. The biggest trend is that modernization and transformation on cloud to a focus on readiness of data platforms that are critical for AI. You see consolidation of platforms within and across agencies, and that's a focus and still a strength of ours. And, definitely, our delivery track record is what has them turned back to us. In terms of specific missions, while a smaller proportion of our forward-looking pipeline, health will always be a national priority. And we are seeing green shoots in AI-enabled public health, biothreat detection, fraud detection. At FAA, we're focused on an AI-powered aviation safety data platform. At Homeland Security, we're focused on autonomy at the edge, where integration of sensing and compute and decision-making is required. And then, you know, weather infrastructure ground processing, AIML for multisource intelligence, integrating commercial sources. There's just a few examples.
Colin Canfield: Okay. I appreciate it. Thank you.
Operator: Thank you so much. One moment for our next question that comes from Gautam Khanna with TD Cowen. Please proceed.
Gautam Khanna: Yes. Thank you, and congratulations. Was wondering if you could talk about the cost reduction plan. How much of that is yet to unfold? And how much, if you could maybe you said it, how much was realized in the quarter?
Matthew Calderone: Thanks, Gautam. I mean, the actions are done. Obviously, they happened over the course of the quarter. And remember, given the nature of how we do accruals, in that sort of cost-recoverable environment, it's not always a one-to-one impact of cost reductions to the P&L in a given quarter. They're essentially done. We'll see a little bit of the impact in Q4, but this really is about setting us up for next year. And to go back to Colin's question, you know, obviously took a shock on our civil business at the beginning of our fiscal year. And, you know, these actions will essentially reset our margin structure to accommodate for the shift in our portfolio caused by those one-time actions in civil. So you saw very little of it in Q3. You see maybe a little bit more of it in Q4. The full weight next fiscal year.
Gautam Khanna: Gotcha. And then could you talk a bit about or expand on your comments about how things have picked up with respect to the pace of contract award activity? And maybe I don't know if you're comfortable sharing, but what do you anticipate submitting over the next couple quarters in terms of, you know, don't know if you can quantify? You gave the big pipeline opportunity set, but what are you actually pursuing?
Kristine Martin Anderson: Yeah. Thank you. Over the next couple quarters? I mean, we are seeing more movement in December post the shutdown. So funding in December was more than twice what October and November were combined, and January has started off strong as well. Seeing some movement in the awards and just funding overall. We are pursuing the kind of work that we've talked about in AI and cyber, in defense tech, doing a ton of co-creating with our partners. We have focused in national security in areas like space ground and full-spectrum operations, AI-enabled cyber operations, and I've just talked a bit about civil. So still very much tied to our growth vectors.
Horacio Rozanski: Yeah. And the other thing I would say is, as you know, we have plenty of contracts healing, and so what we're looking for are signs, and we're beginning to see signs, but it's early. Of demand picking up, and then this is Kristine pointed out demand in civil is picking up and demand against our key defense growth areas and national security growth areas remains strong.
Gautam Khanna: Thank you.
Operator: Thank you. Our next question comes from the line of Sheila Kahyaoglu with Jefferies. Please proceed.
Sheila Kahyaoglu: Hi. Good morning, guys, and congratulations, Matt, and thank you for all the help. So maybe if we could just start off in terms of the civil, Kristine, you talked about the green shoots, and the color is really helpful with the pipeline growing double digits. But it was down 28% in the quarter or lower sequentially. How much do you think was tied to the shutdown? And how do we even start thinking about a return to growth in that market?
Kristine Martin Anderson: Yeah. I think the civil business overall had, you know, this been a year of reset, right? And the shift from cuts to focusing on the president's priorities, I think, is what you're seeing in terms of, you know, there was very little award activity that occurred in the majority of the beginning of our fiscal year, and we are just starting to see that turn now. So that pipeline has been there. We're starting to see some on-contract growth. We're starting to see the awards unlock, and we are certainly seeing the pipeline expand.
Sheila Kahyaoglu: Got it. Thank you so much. And then maybe, Horacio, one for you. I'm sorry. I'm gonna put a big picture question out there for you because I know you appreciate them more. Know, you think about the way you sell to the government, you know, maybe what are one or two biggest changes you've done to transition the business a bit more, whether it's in health or defense or civil? If you could just talk about that.
Horacio Rozanski: Yeah. I mean, there are a couple of things that are different now than they were perhaps a year ago. One of them is we have been working on all of these commercial partnerships. We've had our venture fund for a while, but that has really picked up and accelerated. And we have become a lot more agile in the way we go to market with these companies, you know, hence, the a16z partnership. There's a good example there on payments, for example. You know, as you know, the US government is one of the largest, if not the largest payer in the world if you think about all the payments they have to process. And the idea of bringing commercial solutions to that, you know, we reimagined how we would approach that not just from the solution standpoint, but even from how we would have the conversation, how we would sell it, how we would run a pilot, who we would bring in. And we were able to put together a couple of companies from the Valley that have great capabilities, one of which was focused on this topic, one of which has nothing to do with this topic that was in the a16z portfolio. And we see more of that in the future, and we see ourselves advantaged because we can truly create a complete solution across all of these technologies. There are opportunities like that that we see in health. There are things we're already pursuing, and we have been pursuing against priorities for the Department of War. From counter US to integrated C2 to battle management. And so, to me, that is sort of one big trend. The other big trend is we continue to drive our own work towards outcome-based. We've been having this conversation with customers for a while. The level of receptivity of that, since acquisition reform was announced, has gone up significantly. I talked in the prepared remarks about the Thunderdome opportunities and how things there are moving to fixed price. We believe that this is going to be a significant trend over the next couple of years that we view very positively. Now, part of the way that plays out is once we take more control over the delivery, we can actually lower the cost to the government, which is why this is good for the government. While at the same time, if we perform well, driving our profitability, which is why I've been saying over the next couple of years, I would expect Booz Allen Hamilton Holding Corporation's bottom line to grow faster than the top line as we, again, deliver more value and capture more value.
Sheila Kahyaoglu: Great. Thank you so much.
Operator: Our next question comes from Scott Mikos with Melius Research. Please proceed.
Scott Mikos: Morning, Horacio and Matt. Nice results. Good job on the cost. They got your headcount was down 12% year over year. Just as the business returns to growth and you leverage AI-based solutions, do we expect organic revenue growth to outpace headcount growth going forward? And is that enough to offset the pricing pressures you're seeing on some of the civil programs as they come up for recompetes?
Matthew Calderone: Yeah. Thanks, Scott. The short answer is yes. Right? I think, you know, we're running the business efficiently, and we're also getting more leverage out of technology as, you know, even the things Horacio described. You know, we're leading with solutions that are more tech-forward. So you did see our revenue and profit per employee go up. I think that's a trend that you'll see persist into the future.
Scott Mikos: Okay. And then one other modeling question. Previously, you had mentioned you expected a $170 million cash tax refund in fiscal 2027. Does the cash tax benefit from this year and the change in tax rate impact that refund you're expecting next year? Could it be a little bit higher?
Matthew Calderone: No. But, you know, we do see, you know, there are still three cash tax headwinds for next year. There's the continued unwind of $1.74 and the state's ongoing assessment of the one big beautiful bill. There's what you just mentioned, the $170 million refund from the IRS. And then, you know, the benefit from the incremental R&D tax credit recognized this quarter, we don't expect to convert to cash this year. You're gonna see some of that next year, and then, you know, given the recurring nature of at least some of that tax credit, it should be a longer-term cash tax headwind.
Scott Mikos: Okay. Got it. Thank you.
Operator: Thank you. One moment, please, for our next question. It comes from the line of John Godin with Citi. Please proceed.
John Godin: Hey, guys. Thanks for taking my question. I wanted to just kind of dialogue a little bit about the defense budget outlook. You know, there's this idea of the possibility of a $1.5 trillion budget. And I don't expect you guys to take a view on that, but what I was hoping was you could just offer thoughts on how a company kind of prepares for even the possibility of something like that. Do we, you know, look out there and say, let's make some investments ahead of that? We've seen other companies engage in M&A possibly ahead of a change in inflection in the budget. Do we just look at it and say, let's wait and see what really happens? Maybe you take a view and you say, alright. It could be 1.2 or 1.3. Seem to be so many permutations possibility of that kind of growth, I'm just curious when the customer's messaging, how does that kind of feed into the strategic thinking? And it's not a leading question. Obviously, we don't know. I just wanted to kind of dialogue a little bit about it.
Horacio Rozanski: Well, you know, it's a great question. And, you know, what the president has been clear all along about rebuilding the industrial base, the defense industrial base around recapitalizing some aspects of it around bringing new technology to bear for our warfighters in the battlefield. And I think a larger budget, whatever the number ends up being, is consistent with the messaging that's been going on all along. And from our perspective, we have been preparing all along to support those priorities. If you go back a year ago, we were talking already about leaning forward heavily into opportunities with Golden Dome even before that got fully articulated. We expect that to accelerate in the coming year as one example. You know, we're doing a lot of work on space. Our traditional strength in cyber, we expect next year to be a significant year for cyber across the board. In part because of what we're seeing with the budget, but frankly, in part because the agentic cyber attack and, you know, the first publicized one was when Anthropic had the courage of coming in and explaining how cloth was used maliciously for an attack. All of that is going to, in our view, accelerate the need for more cyber at the intersection of Cyber AI in the next year. And we have been making significant investments in all those areas. Right? That's why the way we pick it up is there's a few growth vectors that we believe will ultimately drive significant growth for Booz Allen Hamilton Holding Corporation and significant value against these key priorities. Cyber, AI, national security, especially related to space, and the border. Defense technology. Right? I mean, and all of these commercial parts, again, set us up to be able to bring solutions quickly into those spaces, which is why we're excited about it. So that's the way we're thinking about it. You know, this is a very dynamic environment. And there's a level of unpredictability around the environment and across all of our markets that we have now sort of put into our management motion. And so we're looking to become more agile. Matt talked about the cost takeout. That is an element of that. So I believe we're well poised right now to respond a little bit ahead, but we don't need to get too far ahead of budgetary either headwinds or tailwinds in a stronger way than we have over the last twelve months.
John Godin: Got it. That was very helpful. It sounds like, you know, needless to say, regardless of what happens, a budget like that is something that you think Booz Allen Hamilton Holding Corporation will find ways to participate in a meaningful way.
Horacio Rozanski: Completely.
John Godin: Okay. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Seth Seifman with JPMorgan. Please proceed.
Seth Seifman: Hey, thanks very much, and good morning. And congratulations, Matt. I wanted to ask, when we think about the funded backlog and recognizing that the award situation depressed Q3, where do you think you can end the year on funded backlog? And will that be enough to allow for growth in fiscal '27?
Kristine Martin Anderson: As I mentioned, we are starting to see awards accelerate, and we hope that continues through the rest of the quarter, although it has been choppy, good months and bad months in terms of pushing funding out. And we're less focused on Q4 at this point because we're keeping ourselves heavily focused on building momentum for next fiscal year. Work that we win in February would still have time to ramp up, which would affect the next year. But we are seeing strong funding in December, really positive signs. As I mentioned, so far in January, very strong, an improved demand environment. Pipeline's up. But lots of proposals being worked at all moments here, and also even unsolicited proposals, OTAs, CSOs, it's very active. And, you know, we are, you know, we've got ourselves right-sized and ready and positioned for growth.
Seth Seifman: Okay. Okay. Great. Thanks. And then maybe, as a follow-up, in your filings, you guys have pointed out the potential for increased competition from new players and commercial competitors. Are there places you'd point out in the business where you see that threat being more acute or maybe where you already see more competition from new competitors?
Horacio Rozanski: You know, the competitive market has already evolved. You looked at the people that we would have listed as primary competitors five years ago and even primary teammates five years ago, and the people that we team with now is a different competitive set. For us, we look at this as, you know, more as where can we create opportunities by taking advantage of the fact that we have a unique set of relationships with the tech world. Certainly, the work we're doing with AWS, I'll give you an example. We're working with AWS on an agentic AI platform that would transform intelligence analysis. That's one example. The fact that AWS is interested in co-investing with us and co-creating with us there is hugely exciting. Does that mean that somebody, another tech company, will work with somebody else on a competitive platform? Probably. And that's okay. We believe that teaming together, we can do more. You know, the work we've done with NVIDIA all the way back to 2017 positions us uniquely, and, again, I could go through the list. Right? But from Shield AI to hidden level, small companies that you never heard of to the largest companies, we have built, I believe, a unique ecosystem that can take advantage of the different trends that we see in the market.
Seth Seifman: Great. Thanks very much.
Operator: Thank you so much. Our next question comes from the line of Jonathan Siegmann with Stifel. Please proceed.
Jonathan Siegmann: Good morning. Thank you for taking my question and good luck, Matt. Just in the past, you've highlighted tactical selling and on-contract growth as one of the challenges of this dynamic environment. And Kristine, you had some encouraging comments about seeing a recovery in civil. I just wanted to clarify whether this is normalized for the entire portfolio, or is it still below trend and expecting that there'll still be a challenge next year. Thank you.
Kristine Martin Anderson: Sure. On-contract growth will always be important. And it's really just a matter of matching the customer's needs with solutions that we can bring forward to them. There's always a constant selling that's going on. As we mentioned, the funding environment has been choppy, right? So does two months make a trend? I hope so, but we're going to see here over time. There is a trend toward just funding smaller amounts, more frequently, and that's a lot more activity for a lessened workforce. But we do see encouraging signs in that area, both in the funding and also, as we mentioned, in the pipeline, and that includes pipeline for on-contract growth as well as pipeline for new awards.
Jonathan Siegmann: That's great. Thank you. And then if I can slip in another one about larger new program, Golden Dome, the company's capabilities are really well suited for the mission. Can you just maybe level set what, if anything, we might hear about the company's role publicly understanding a lot of it's happening in the dark world? Thank you again.
Horacio Rozanski: Yeah. We're, you know, we're excited about our space business in general from space domain awareness to ground systems and bringing AI to developing common ground systems and virtualizing that entire infrastructure. On Golden Dome, we have been very active pursuing a number of opportunities, many of which we are not prepared to talk about yet. But we see this as an area where Booz Allen Hamilton Holding Corporation, as you said, has a lot to contribute. And we expect and hope to see significant growth there. And, again, I mean, I'll take it back to something Kristine said. The environment is still choppy and uncertain. And so part of what we need to do and we need to continue to do is find these areas where the mission priorities, the funding, and our capabilities are well aligned and double down on those areas, which is why you're hearing us talk about this growth factor. You're gonna hear us talk about those growth vectors. You're gonna see us invest in these areas to drive both top-line and, in particular, profit growth. Thank you.
Operator: Thank you so much. And our last question will come from Tobey Sommer with Truist. Please proceed.
Tobey Sommer: Thank you and good luck, Matt. I was wondering if you could comment on what you might see as the interplay. You know, the president indicated an appetite for a real tectonic change in defense spending next year. But I'm wondering if there would be interplay in offsetting areas should the growth in defense be very substantial, you know, as opposed to just blowing up the deficit. In particular, is civil an area that you think would be a source of fiscal restraint?
Horacio Rozanski: That has been the trend certainly over the last year. And even inside the Department of War, they've done a lot of work to kind of make sure that they're focusing funding against the key priorities. The one big beautiful bill was pretty specific in terms of the areas of investment. It was not broad-based. And so we interpret things going into next year as, again, you know, the president and the administration picking key areas of focus and doubling down on funding and national investment against those areas. With an expectation that industry will follow suit and participate in that, you know, part of what we're trying to do is anticipate it from the standpoint of positions that we're taking, the capabilities that we're funding, the growth vectors that we're investing in. But a big part of it is we've built more agility into our system. Again, I point you to the cost reduction. I point you to the fact that we've flattened and simplified the management layers in order to be able to respond more quickly to the fact that as funding potentially gets reprogrammed against these priorities, even if overall funding is higher, we need to be well-positioned to respond to that. And I believe that we are. We've made significant strides.
Kristine Martin Anderson: And I would also add that, you know, if you go back a couple of years, when I was a civil sector president, I used to talk about enduring missions. These are missions that have to be done in civil regardless of administration, but what changes is the approach. And so we're seeing that, right? Still need a strong FAA and aviation safety. You still need to deliver healthcare. You still need secure borders. You know, you still need to have the right infrastructure to the nation. And so we're seeing exactly that. That the missions are enduring, the same ones that we have invested in for years, but the focus area has changed. And now they're really ready to move forward to impact.
Tobey Sommer: Thank you. I appreciate that. And with respect to capital deployment, you've got a strong balance sheet. This is a period of significant change. Or do you think a lean in and utilize the balance sheet more to affect change in the portfolio? And maybe inclusive in your response, could you talk about the EO and share repurchase and whether or not you feel constrained in future repurchases as a result?
Horacio Rozanski: Yeah. Let me start by saying, you know, let me start with the EO. The EO was focused on making sure the defense contractors, especially the ones that the Department of Warfield are underperforming, sure that they invested, got back up to track, and made consistent with the requirements in order to create the capacity and then to prioritize the government's mission. I think Booz Allen Hamilton Holding Corporation is already there, in addition to the fact that our much worthless capital intensive, we are very proud of our delivery, and we do not have any performance issues. So we don't think that on the whole domain, the EO applies to us in a negative way. Having said that, you know, to the other part of your question, absolutely. Right? I mean, our capital deployment priorities remain unchanged. The balance sheet is strong, it's a strategic asset. And we continue to look for, call it smaller, but impactful M&A that can behave as a strategic accelerator, especially in the growth vectors that we've been talking about all morning. And then so, hopefully, you'll see us be more active, especially in those areas. Beyond that, of course, we'll continue to support the dividend. And then, you know, share repurchases become something that's more opportunistic. Because, obviously, investors should not want us, do not want us, and we don't want to have an idle balance sheet. So that's the overall thought process. But, you know, we're very focused strategically on reaccelerating, reigniting our growth and to do it in a very focused way.
Tobey Sommer: Thank you.
Operator: Thank you so much. And this will conclude our Q&A session. I will pass it back to Horacio for closing comments.
Horacio Rozanski: Thank you, Carmen, and thank you all for your questions this morning. I hope the discussion conveyed that even in what remains a complex and challenging environment, Booz Allen Hamilton Holding Corporation is on track both operationally and strategically and that our people are focused every day on building and delivering technologies that create value for our company, for our nation, and for our investors. And as we close, let me share my excitement about 2026. It's not only the things that we talked about this morning that give me confidence and optimism about the future. But this is a special year, and I'm excited for our company-wide celebration of America's two hundred and fiftieth birthday. We're planning a year of company-wide events to live our purpose and especially to show our commitment to passionate service both by amping up our work in our communities and also, certainly our work on these critical missions. And then with that, thank you all for joining us, and have a great day.
Operator: Concludes our program. Thank you for participating, and you may now disconnect.